Operator: Good afternoon. My name is Clouie and I will be your conference operator today. At this time, I would like to welcome everyone to the Grindr Q1 2024 Earnings Conference Call. [Operator Instructions] After the speaker's the remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the conference over to Tolu Adeofe, Grindr's Head of Investor Relations. 
Tolu Adeofe: Thank you, moderator. Hello, and welcome to the Grindr Earnings Call for the First Quarter 2024. Today's call will be led by Grindr's CEO, George Arison and CFO, Vanna Krantz. They will make a few brief remarks, and then we'll open it up for questions. Please note, Grindr released its shareholder letter this afternoon, and this is available on the SEC's website in Grindr's Investor page at investors.grindr.com.   Before we begin, I will remind everyone that during this call, we may discuss our outlook and future performance. These forward-looking statements may be preceded by words such as we expect, we believe, we anticipate, or similar such statements. These statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today.   Some of these risks have been set forth in our earnings release and our periodic reports filed with the SEC. During today's call, we will also present both GAAP and non-GAAP financial measures. Additional disclosures regarding non-GAAP measures, including a reconciliation of GAAP to non-GAAP measures are included in the earnings release we issued today, which has been posted on the Investor Relations page of Grindr's website and then Grindr's filings with the SEC.   With that, I'll turn it over to George. 
George Arison: Thanks, Tolu, and hello, everyone. We reported outstanding revenue growth and strong adjusted EBITDA in the first quarter. User metrics and engagement were all healthy. Our overall Q1 performance reinforces our confidence in our full year outlook.   I'm grateful to our team for their hard work in the significant product launches and to our users for engaging with the launches and providing us important feedback quickly to allow us to make improvements. In addition to the [indiscernible] results, we have hit the ground running on our 2024 strategic priorities.   Those priorities are focused not only on driving continued growth this year, but also positioning Grindr for the long-term success of the Global Gayborhood in Your Pocket. We are pursuing that vision by focusing on: one, a robust set of products and features to focus on serving users bearing intent; two, a lean and nimble team with an exceptional performance-driven culture; and three, at brand narrative that is true to the important role we play in the community.   Looking [indiscernible] product development, we currently have 2 [ usages ] in test, Right Now and Roam, both which are built with user intent in mind. Right Now is a multi-phased product we're building in response to strong user demand that makes it faster and easier for users to connect. Phase 1 features our crowning tests with more expected to be launched later this and next year.   Right Now will ultimately have additional robust features facility in better user engagement and capabilities for more seamless, easy communication if we use both 1-1 and in groups. Roam referred to as [indiscernible] in the past, targets to travel intention. This feature enable users to transport their profile into a different location that they will be traveling to making the proof of discoverable by users and application.   We are currently planning to start rolling it out more broadly in the second half of the year. During Q1, we also rolled out our new chat system built with an entirely architecture, which encompasses step change improvements in its critical user feature. This was a complex testing we're taking and when you're in the finish line in addressing bugs that have popped up in the initial launch period.   The [indiscernible] storage of chat server side eliminating loss chat as a result of device changes. Fixing this was a top request we uses for years. We are very excited to offer the significant U.S. upgrade to all users. New chat architecture will be a foundational to several new intentionality focused based features we plan to roll out in the coming quarters.   Turning to our team. We continue to build out our talent base, and we increased the number of engineers on board by more than 50% in Q1. As we think about long-term growth, we are centering on a vision of trying to find the Global Gayborhood in Your Pocket. Physical Gayborhoods are hubs for the gay community long established in large cities where we look to interact safely and comfortably with businesses, resources, bars, restaurants and shops specifically catered to us.   Over our 15-year history, Grindr has come to represent this concept in a digital way. We see this today and how the app is used for things like travel accommodation, health information, and making professional connections. We know our users want other types of actions, information and services that will enhance their lives.   Our vision of Grindr as a Global Gayborhood is about tapping into these designs. It will be a multiyear journey to achieve this vision, and we're excited about the potential of Grindr to find an even more internal part of the community and to build an even greater business in the process. I'm excited about sharing the long-term product road map that underlines the Gayborhood vision with you at our Investor Day in June. Thank you again for joining.   And now I'll turn it over to Vanna to discuss the quarterly results [indiscernible]. 
Vandana Mehta-Krantz: Thank you, George, and hello, everyone. Grindr is firing on all cylinders as we start off the year. Q1 revenue grew 35% year-over-year to $75.3 million, and adjusted EBITDA margin came in at 42%. Q1 revenue was driven by strong sales across all products, including the XTRA Weekly subscription, which launched in mid-2023.   Direct revenue increased 34% year-over-year to $64.4 million and indirect revenue was up 43% year-over-year to $11 million as we benefit from reinstated banner advertising from Q2 of 2023. To share a few key user metrics. Average monthly active users increased 7% over the prior year to $13.7 million. Average paying users in the quarter increased 17% over the prior year to $1 million, which brings payer penetration to 7.4% for the quarter.   And our Average Direct Revenue per paying user increased 15% over the prior year to $21.25 this quarter. Moving to expenses and profitability. Operating expenses, excluding the cost of revenue, were $36.5 million in Q1 of 2024, up 13% year-over-year. This reflects higher [ people ] costs driven by stock-based compensation and contractors, which was offset by lower depreciation.   Adjusted EBITDA for Q1 of 2024 was $31.6 million, equating to a 42% adjusted EBITDA margin, up from $22 million a year ago or 39% of revenue. Turning to our balance sheet. We paid down $25.8 million of debt, bringing our debt position to $315 million as of March 31, 2024, and ended the quarter with $21.5 million in cash and cash equivalents.   Lastly, I'll touch on how we're thinking about our 2024 outlook. We are pleased with the strong start to the year, which increases our confidence in the outlook for revenue growth of at least 23% and adjusted EBITDA margin of at least 40% for the year. We set and update our annual guidance based on our most current views of the business and what we know to be achievable.   Q1 year-over-year revenue growth was largely driven by user adoption of the XTRA Weekly subscription, which was introduced in mid-2023. We are currently testing new products and are encouraged by their potential and are still accumulating data that will inform the timing of global launch and revenue forecasting. With that, I'll ask the operator to open up the line for questions. 
Operator: [Operator Instructions] And we'll take our first question from Nick Jones with Citizens JMP. 
Nicholas Jones: Maybe first, increasing the engineer head count by 50% sequentially. And with Right Now and Roam products rolling out, can you speak to how you think about, I guess, return on investment? When you add engineers, you guys are a very product-driven company with a lot of enhancements to come.   How do you think about kind of ratcheting up those hires and how we should be thinking about, I guess, the time line or return on investment to those hires? 
George Arison: Thanks for being here, Nick. Great to talk to you. So I'll start and then I'll hand over to Vanna. First, we had way more engineers than we have on board today at our peak in January of 2023. We're close to 225 people in total, and the big portion of nearly half of that was product and engineering team.   As everyone knows, a lot of folks chose not to stay on Grindr. I think with the culture change and some commutations that we wanted to make, which included coming back to the office, and so they chose to depart. And so we are a 129 people in total at the end of Q3, and so far from where we were at our peak. So the engineers that we're adding are bringing us close to where we were in the past.   When I came to Grindr, my takeaway, and this is not just mine, I think a lot of folks who are here in leadership both had the same feeling that we had opportunity to significantly increase productivity. We were not shipping as many things as we could have been shipping. And we -- I think it should have been in a pretty significant way both last year and I continue to see pretty significant productivity improvements this year.   Obviously, some of that has to do with kind of a clarity on what you want to achieve because I think engineers do really well the clarity on the product vision and specifications. And some of us do with better management, which we're implementing across the whole work, right? That's something that you have to do as a company matures.   As far as how we tend to think about product development, we are a very product-driven company, no question. And the way I think that product is built is through user perspective. So if you go to our operating principles on our website, you'll see that the first principle is user #1. And there's a very clear reason why, right?   We try to learn from user what they want and then try to build that for them. Does not mean you don't come into the product with a hypothesis, you definitely do, but you start with the user in mind. And we are fortunate that I usually have told us a lot in terms of what they want. They've been saying this for years that they want certain things built and when are you guys going to do that.   And we've been, I think, very deliberate in ensuring that we build those before them. What we normally do is kind of get that initial user perspective in terms of what they want, mark things up and design prototypes and put those in front of the user and collect [ data ] on that as well, make changes basically use the feedback and on events that are actually building up the product, at which point we have a reasonably high confidence that something will work well.   We try to build the most minimum viable product you can to address the user need that's in question, put that out to the market as quickly as possible because the best test for something exactly having users work with or play with a product that you have out there and start collecting feedback. That's something we did, for example, last year was wrong, right?  We put the first personal room out in the fall in a couple of countries with selected users. Collect the [indiscernible] put that [indiscernible] back in from the real product being live in market and then make changes to it and then put it out there again last quarter. So that's the general approach that we take for the product development.   We definitely have more to do than we have resources to deal with in a pretty significant way. And that's why we said that we would expect that over a 2-year period, we would build back up to at least the levels of the total number of hires that we had also number of team members that we had in the beginning of 2020. 
Vandana Mehta-Krantz: And just to address -- so we are thinking about our investments with respect to the overall envelope that we've set in terms of our guidance of 40%. So everything that we are talking about, you should expect that is already factored into the guidance that we've shared with you and that really is the investment that we need to put into our business to continue to grow in the short and medium term.  And so yes, it sounds like a big change with respect to 50% increase in engineering headcount. But as you know, we were at 104 total FTEs at Q4, and now we're at 129. So still a relatively lean company for the amount of product that we have out there and our goals. 
Nicholas Jones: And maybe still staying on the theme of product rollout, there's Unlimited Weekly pullout globally in Q1. You mentioned the extra that was rolled out in 3Q last year. Payer penetration as a percent of MAUs ticked up nicely in 1Q. Can you speak to kind of the final rollout obviously help attract more payers but to the extent that users are having a better experience, is that also showing up and just maybe MAUs who are quite ready to pay?   I guess could you kind of walk through, as you roll these out, what is kind of the impact on payers and I guess, even further up the funnel on just overall usage of the platform. 
Vandana Mehta-Krantz: And maybe I could just start. So we actually did not roll out the Unlimited Weekly. It's only in test. And so it's not fully rolled out globally, it's still in test. And so what you can imagine is that it hasn't -- it only went out in April. And so this was the Q1 results that you're looking at and the cash part was still in March.   And so I would say that we're very pleased with our growth rate in average paying users, which was 17% or pleased with the ARPU changes, which is really an output of getting more and more paying users. And Right Now continues to grow. I think you could see that we're up by 7% in terms of year-over-year. So we are having a steady drumbeat of bringing more and more monthly active users globally into the platform and increasing our average paying users through our build-out of the product road map.   It's global, both domestic and international. And it's really a drumbeat of continuously tweaking our products and getting more users out there. 
George Arison: And I think through kind of what are the products that we're building and where they're going. So first of all, we have Investor Day coming up in June. And so I'm really excited to have everyone there, and I think we'll do a fairly detailed look into what the product [indiscernible] is and what are the things that we will be launching and how that interrelates to the growth that we're planning from the revenue perspective.   So please stay tuned to that. And I'm really looking forward to telling everybody what we're going to be doing. That said, the way we have been thinking about product development overall is both in creating products that will drive monetization and also building things for the entire user base, even if those users are not customers because obviously, they are very valuable users as well.   You want paying customers engaging with people who are not paying customers, and so you want both. From that perspective, for example, this quarter, the last quarter, we released a huge update to our chat system. It's a completely new architecture in our chat system, a very significant launch, the most challenging [ pecan ] the company been in nearly a decade. And that's obviously for everybody.   Now we do envision that with that architectural change, we will be actually able to launch new features inside our inbox. There will be specific for paying customers and book the opportunity to convert more people to become paying customers.   And so when we think about product development, we kind of think about it from both attracting new users to the product or maybe users who use some of the product before and are using it less now because they're not getting what they wanted from their product. That's an example of, for example, what dating features might do for us. As well as from the perspective of then taking those users or existing users and converting them to the paying customers. 
Nicholas Jones: If I could sneak in one last question here, and then I'll hop back on the queue. In a slide deck you guys put out earlier in the year. I think it was about 25% of MAUs are in the U.S. roughly, but your revenue in the U.S. is quite a bit higher than next. But could you speak to, I guess, your ability to monetize so well in the U.S. and maybe what it takes to kind of get similar monetization in some of the international markets or what the puts and takes are to monetization internationally versus in the U.S.?   Or maybe I have this wrong, and you could just help clarify. 
Vandana Mehta-Krantz: Sounds good. Nick, yes, you're right. We have about 1/4 1/3. We are nicely global in terms of our monthly active users with North America versus all the other regions. Absolutely true. From a revenue perspective, think of it of around 40% of our revenue is coming outside of North America.   And so clearly, that's giving you an indication that we are further along in terms of not only payer penetration but obviously, conversion as well in terms of North America versus the other regions. I think what you can also take from that is that we put out new product, and we put it out globally. So we do a global launch, for instance, of the Weeklies with some level of localization, but quite minimal.   And I think that we are continually testing how our products are landing in certain international markets, and we will continue on our localization efforts to increase the conversion rates internationally. I would say that we're still early in that journey. But what's pretty comforting is that even with a global rollout, for instance, the XTRA Weeklies like you noted, they still performed very well globally. 
George Arison: And Nick, I guess we knew all that is amount of opportunity, right? The fact that we are penetrating well in the U.S. that are still think below our peers in the dating space, it's a great opportunity to continue increasing penetration in the U.S. And the fact that rest of the world, Europe and Latin America and Asia are below North America in penetration.   I think you told you that over time, you can drive that penetration to be higher as well. We've never really approached this business from a regional perspective, and that's something we're just now starting to think about and then a mission from a localization perspective and that will be really helpful. And I thought after in of cultural changes like U.S. and Europe, in particular, probably [indiscernible] along in acceptance of gay rights, and that makes it easier for people to retain for a product like us.  That change is happening very actively in Latin America. We were just in Argentina. So in Brazil a few weeks ago, and the response to us being there and seeking was extremely positive. And so I think there's a ton of opportunity in Latin America from that perspective. And then in Asia, we probably -- the pace of change culturally is the slowest right now.   You are still seeing some significant changes happen, right? Like Thailand is very actively working on passing [ gender ] equality as a law. And so that's really positive as well. So I think we have a ton of opportunity to see penetration grow all over the world. Obviously, it's going to be a long journey, right, because we have a lot of room to grow, but we plan to take advantage of that. 
Operator: And moving next to Andrew Marok with Raymond James. 
Andrew Marok: I wanted to talk about the Right Now launch. It seems like a pretty interesting product and fairly differentiated in the marketplace. You talked about user feedback or user signals on intent that went into the development of that product. Can you maybe go a second level below and say, what was it among the user base that said, this is a product that we need to serve this unmet desire in our user base. 
George Arison: Absolutely. I'm happy to talk about that and go to talk to you, Andrew. So I think the way I would think about this as a following. When Grindr has started out as a company in its earlier days, everyone who was on Grindr kind of thought of it as a Right Now product. That was kind of the reason you were there, right?   And obviously, it was both online and in some ways, was going directly off-line as well. We see a huge differentiator [ of liner ]. I can tell you my own personal story, how I learned about Grindr, where I was in a bar with a bunch of my friends and one of them pulled out his iPhone. And like, hey, let me tell you what this cool app I just discovered.   He goes into Grindr and there are like 20 people in the bar all on the app at the same time. So that was -- and the Right Now mode was kind of there for everybody at that time. Now over time, as the user base grew and obviously grew very, very quickly to much larger numbers, many of our use cases came into the product.   So we went from Right Now use case to people looking for dating, to people looking for friends, to people looking for social connections and even professional connections, looking for information and asset set information as related to travel or health, et cetera. And so not everybody is in the same mode of intentions at any given moment.   And frankly, able to need more than one mode of intention at the same time, right? And so what we are hearing from you is it'd be great if we could have a way to know who is in the Right Now mode when we are talking to them. And we've heard that a lot in clear from users and that's what we are building. Now Right Now, it's not -- like what we launched so far is not the completed product.   And by the way, when I say launched it, it's in test in one country, right? So that's kind of the phase that we are asking right now. This is the first test of this. We are collecting the feedback and then take that feedback and then make changes to the feature and get it back out into users for testing purposes. So this is a multistep process.   But it's still phase of 1 of what we want to do. What we've released as a toggle on your profile that allows you to say you're in the Right Now mode. And then people are able to sort the grid based on who is in the Right Now mode. Over time, we see opportunity for a lot more features that are tied to that mode.   It could be creating a many person chat facility or a room where you could be talking to each other who are all in that mode. It could be additional toggles on the profile, it might even be that the profile looks a little bit different if you're in the Right Now mode. So there's many different things that we are considering adding to this broad product feature set.   And over time, we think it will be a pretty significant extension of the product. I do want to say the second thing, which is not related to right now per se, but in terms of how we're thinking about the product. Right Now, it's kind of one mode and one end of the things that we're looking to add. On the other end, we're thinking about dating the same work, right?   We want to extend the product to have a feature set for dating. That's something also we've heard very actively from users. People are saying, we actually have a lot of success in finding long-term partners on Grindr. The number that they are very high and we're very excited about that. But it would be great if you had a feature set that allowed us to more easily connect with people who are in that mode, who actually want to be in a long-term relationship.   And so given the [indiscernible] we have our boarding relationships on the app and are not looking for a relationship, for example, that's a different segment of users versus the ones that might be actually looking for relationships, so creating a segmentation for them to kind of be able to talk to people who are in the dating [indiscernible], really another thing we want to do.   So none of this is going to change the main, right, [indiscernible] was going to stay as it is. That's like bread and butter of the business and we think is extremely valuable. But building out these extensions in 2 different directions, we're being in this huge opportunity, and that's what we are working on today. 
Andrew Marok: I really appreciate the detail and looking forward to kind of future evolution of that product. And then maybe one quick one for Vanna, if I could. You mentioned the instatement of banner, driving the spike up in the pace of indirect revenue growth. I guess should the 1Q results kind of be seen as the run rate going forward? And any other kind of detail as to the scale of move that you recently made would be appreciated. 
Vandana Mehta-Krantz: So yes, Andrew, we are definitely off to a strong start this quarter across all of our business lines, and we did reintroduce that banner in the middle of 2023, so we are seeing the impact of it. What I'd suggest is that our advertising revenue is around 14% of our total revenue.   And we can imagine that, that composition of total revenue will stay around the same. So I think you should think about it in that manner. 
Operator: Move next to John Blackledge with TD Cowen. 
Unknown Analyst: It's Logan on for John. Thanks for the question. I had 2 questions here. Firstly, revenue growth was strong once again in 1Q. How should we expect revenue growth to trend through the rest of the year as you lap through like the weekly launch in '23, but also have new products launching alongside this new Weekly Unlimited tier? 
Vandana Mehta-Krantz: Yes, thanks. So we had a definitely a strong year so far, and we're really looking forward to a full year of great revenue growth. As you know, we've guided to 23%, at least 23%. And that said, our philosophy on guidance is to inform the market based on things that we have visibility on.   And right now, we are running tests across our subscription products, our a la carte offerings and our advertising format. All those tests are going well and the results might impact our forecast, and so as we get more learnings back, it's still relatively early in all of these tests, we'll update the market.   You might recall that last year, when we put out earnings -- when we put out our guidance, we waited until we had the full impact of our testing with respect to understanding cannibalization, with respect to understanding sign-up growth. And then we started providing updates to the market. So I think we prefer to keep our philosophy and really having clear line of sight. 
Unknown Analyst: And then just on marketing, marketing spend continues to be minimal for you. Could you just update us on your philosophy with respect to marketing spend and also the results of the podcasts and other brand marketing folks is for you guys right now? 
George Arison: Totally. So historically, Grindr is [indiscernible] very little, maybe in the early days, it is a little bit more than was almost no marketing when we came in. And in some extent, we were successful in spite of our market than because of it. We were not telling our story very, very well.   Grindr does awesome things for the community for its users. And historically, even in recent history, kind of telling that story and that narrative around the brand was not a focus. And product marketing as well, when you go into our app, like we can do it and where we will be doing a much better job in telling the art behind what the features are, how you use them, what benefits you get from them, et cetera.   So there's a ton of opportunity on the marketing side. Last year, we brought on board a new leader for our marketing and communication effort who is a person in present with a number of the community has been an app usage that historically has an incredibly good sense of the user and also has worked both in the United States and in Europe.   So bringing an international perspective to things as long and we think it's going to be valuable. And so when Swiss leadership, I think we're significantly up-leveling our marketing capabilities. A lot of that has already started to bear fruit. We've spoken a shareholder about the process that we ran in the first few months, which had incredible response from users and became a saying in the community in a really positive way.   And when you think about the total amount of money that, that cost versus the engagement level that you have from users, the ROI was extremely high. And so another thing we're thinking about that's going to start in the next few weeks in celebration of our 15th year anniversary. We are going to be launching a bus tour across the United States.   It is a Grindr Bus that's going to go to 10 different cities across the country and have these like really major marketing moment for Grindr during the month of June. Obviously, June is 5 months, and so there are big pie events all around the country. And if you can imagine, Grindr is a very heavily used product during those events.   And so again, that is going to be a reasonable investment, but the ROI you're going to get from that. We believe from the engagement with the user is going to be really, really significant. We had a little taste of that in Rio when we therefore to get a seat and then how to do this in [indiscernible] about the anniversary, and we also had a kind of version of the bus there.   The lines to get into it, we're completely unimaginable. Like maybe 20 people would be in line when others like 10s that have maybe even hundreds of people in line waiting to get in. They had to call out security to manage the crowd. And so those are the kinds of things we are doing in brand to help tell our story really well and really control the brand there, right?   Because [indiscernible] does attract a lot of attention and a lot more than other products. And that attention can be good, it's channeled in a positive way on the things that we do really well. But it can be damaging when people try to make things that are not a big deal into a much [indiscernible]. So we want to be owning the brand narrative and helping us understand and all stakeholders understand what brand a dozen and how does it service the community. 
Operator: And we'll move next to Rohit Kulkarni with ROTH MKM. 
Rohit Kulkarni: Nice color and well said everything. A couple of questions, quick ones for you, George. I guess how are you thinking about AI and like AI-driven use cases? You mentioned chats and you have rebuilt the infrastructure. Maybe talk about kind of what use cases you think you could unlock even more and perhaps accompanying investments that you may have to do to make those use cases a reality? And yes, then I have a couple of follow-ups on the moderates. 
George Arison: Sure. Good to talk to you. It's a great question. And so bear with me as I answer it because I have a lot of thoughts on this. So when we think about both the user perspective in terms of what we're doing for the user and also how we run the company and how we actually build product that is related to that as well, right?   Because the changes that are happening things generally in how code is written, for example, are incredible. I had a demo for example, of a product this week, in which NAI synthetic computer is basically operating at the same level and you would expect a junior or senior year intern, software engineer to operate.   And that's pretty incredible, right, in terms of how much effectiveness it's going to add to an engineer [ activity ] now. We're not fully there yet, but we had [ a election ]. So the way we tend to think of it is in the following way. Right now, we believe software in general, software development and products themselves are in the same stage kind of in early days of cell phones, we were in cell phones versus landline.   And you could go after and kind of do a lot more investment into mainline, right, because that's what was present then as the main way of communication. You could say, "Hey, no, actually, I'm going to go invest in software, in cell phones and build a cell phone driven environment". First, for example, because it might not be a good connectivity on online life. And so that's the kind of decision we need to make as well as we think about building products.   So when we think about dating, for example, what we -- the way we are putting to say, what is the AI first base dating product like? Rather than what is popular today in dating. And do we try to replicate and mimic in our application because, again, we don't have dating features. I think it forms a much better approach because that's what everybody else is going to go.   And so since we have an opportunity to build from scratch, whether those for that future rather than what might be working today, and that's how we tend to think about it. So where I think applications for AI are significant in our products, it's mainly threefold.   One has to do with communications, chatting, companionship, or support for the user, whether it's coaching or mental health in either direction, that kind of whole bucket of communications, general component, I think, is pretty significant, and then there's a lot we can do there, and we are working on that. The second one is around matching and creating better connections between users, right?   We have an incredible amount of information about our users. As you probably know, our users generated $121 billion chat messages last year. That's an incredible amount of information about what they like, what they don't like, what they're into, and using all that as a way to understand the use of better and potentially create good matches between users, we think it's a huge opportunity.   So that's the second kind of component. And then thirdly is application health or quality to trust and safety is another big component. And there, we're already actually doing a bunch of things using AI, and we think we can improve as an application like us a social media app or dating app, there is an idea that is not allowed, right?   It's against a [indiscernible] guidelines or it is illegal. The more we can do to that type of behavior before it even happens or before anyone reports it and get it when we move from the product and from the community, the better we are, right? Because that means we're creating a better experience for users. So actually using quite a bit of AI already.   We have done, I think, a really good job in proactively finding that behavior and getting it removed to the point where our user reports on illegal activity in the app or activity against the community has dropped 50% over the last 3 years. And that's because we're actually able to get ahead of it and get it off the half before it becomes a pump for anybody. And so that's the third bucket of where we think opportunity is significant with. 
Rohit Kulkarni: I guess then a question on weeklies versus monthly. I guess just philosophically, how do you kind of think about the lifetime value of a customer who's coming in for the first time and opting in for a weekly or how does the funnel progression now that you probably have 6 to 9 months' worth of data has been and maybe talk to over a steady state, what proportion of your users you think are free versus weekly versus monthly going forward? 
Vandana Mehta-Krantz: Thanks for the question, Rohit. Yes, we have been spending a lot of time now that we've got enough data to analyze our weekly and our monthly behavior. And as you know, we have increased our paying users, we've increased payer penetration and we've increased ARPU.   And so now it's time to look at LTV, we can do a nice analysis of LTV for the year. And I think there's one thing that I'd like to share with everyone with respect to our usual behavior, and that is that our app offers immediacy to our community. And therefore, the weekly proposition has really followed that intent and major use case.   And so we have not found the level of cannibalization that I might have expected with respect to weekly and monthly. And in fact, a reactivation rate, which we've been absolutely able to track now over the 1-year period is extremely healthy. And so our ecosystem has remained extremely healthy and more available to more users.   And so the LTVs are relatively close. We don't provide that data publicly. But what I can tell you is there is a cohort or a subset of our users that enjoy the weekly product, and they tend to dip in and dip out yet we also have a different cohort of users that tend to stay in the product for longer. However, given the pricing, the LTVs are generally in the same Zip code.   So we are pleased with our overall ecosystem. However, you also might notice at times, weekends versus the weekdays and things like that, that it can become a little choppier now, but overall, very healthy. Does that answer your question? 
Rohit Kulkarni: Yes, absolutely. And again, like looking forward to the Investor Day. I hope to learn more about product and team, and good luck with that. 
Vandana Mehta-Krantz: So just one quick correction, if there's no more questions. One, we actually did begin rolling out Unlimited in February, and it was fully rolled out in the quarter. Thank you, and I'll pass the line back to the operator now. 
Operator: Thank you. This does conclude today's program. Thank you for your participation. You may disconnect at any time, and have a wonderful evening.